Operator: Good morning everyone. Thank you for holding and welcome to America’s Car-Mart First Quarter 2015 Conference Call. The topic of this call will be the earnings and operating results for the company’s fiscal first quarter 2015. Before we begin, I would like to remind everyone that this call is being recorded and will be available for replay for the next 30 days. The dial-in number and access information are included in last night’s press release, which can be found on America’s Car-Mart’s website at www.car-mart.com. As you all know, some of management’s comments today may include forward-looking statements, which inherently involve risks and uncertainties that could cause actual results to differ materially from management’s present view. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The company cannot guarantee the accuracy of any forecast or estimate, nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking information, please see Item 1 of Part 1 of the company’s Annual Report on Form 10-K for the fiscal year ended April 30, 2014 and its current and quarterly reports furnished to or filed with the Securities and Exchange Commission on Forms 8-K and 10-Q. Participating in the call this morning are Hank Henderson, the company’s Chief Executive Officer and President; Jeff Williams, Chief Financial Officer. And now, I’d like to turn the call over to the company’s Chief Executive Officer, Hank Henderson.
Hank Henderson: Good morning everyone. I appreciate you joining us today. And as you saw in our press release this first quarter was a very solid start for the year, our unit sales were brought in line with our internal sales targets for the quarter and actually we exceeded those slightly by about 150 sales. And (inaudible) even more satisfying though than our overall unit sales number with the number of stores we had hitting the sales goal. As we finished out the quarter in July, we had almost 90% of our stores hitting their individual sales targets and I can't stress enough the significance of that achievement. At the very strong indication that we truly are getting better and executing the Car-Mart plan in every store. So hats off to our associates general managers, area managers for the great progress. We had big sales months as a company many times before, but typically when that's happened in the past we've had a number of stores knocking out apart and this time was different and even better to see almost all of our stores coming in right on targets, very excited. Also with regard to sales we successfully managed to bring down our average sales price from last year's same quarter and also from our most recent quarter and Jeff will go over the particulars on that in just a minute. This does obviously make it a little tougher to seize much growth from the topline, but as many of you know our focus on affordability pays off over the long term. Our customers need payment terms to better fit in their budget and this effort certainly makes that happen. And what we offer our customers better suits our customers’ needs, we are rewarded overtime with happier customers and more repeat business. And that's long been the cornerstone of building and growing our company. During just this quarter we added about 2,000 more customers through active paying customer base. That obviously helps cash flow throughout coming year and also gives us that many more context with customers’ friends, families, co-workers et cetera for more sales opportunities. And while overall losses are continuing to run in the higher range, I would like to highlight that we’ve seen positive direction on the collection side as we saw our collections as a percentage of finance receivables increase from 3.8% last year to 14.1% this year. That is a significant improvement in the right direction and it is a strong indicator staying disciplined on our term structure, despite some of the noise going on with auto financing these days it’s serving us well. And we believe it is also serving our customers well. So, I’ll go ahead and turn it over to Jeff to give you more details now.
Jeff Williams: Okay, thank you Hank. As Hank mentioned, total revenues for the first quarter was just over a $127 million, up 3.9%. Same-store revenues were down slightly compared to the prior year quarter but up about 4% sequentially. Revenues from stores in the 10 plus year category was down 2.8%, a significant improvement from the fourth quarter, but were down just over 10%. We’re really closing the gap with these older dealerships. Stores in the 5 to 10 year category was up 2.3%; the fourth quarter was down almost 5%; and revenues for stores in the less than five year age category was up about 39%. While we continue to face some top-line headwinds due to the tough environment, we’re making solid progress and we continue to try to find just the right sales volume, credit risk balance with the goal of helping customers successfully complete contract terms, and owning their vehicles. Once again, something that many current market participants have not appeared to be overly concerned with. Our continuing efforts to sell less expensive, more affordable vehicles is helping with our recent volume challenges, but that does present some short-term issues on the SG&A side as we try to leverage our fixed cost structure. Selling less expensive vehicles is the direction we need to continue to go as it reduces the cash cost of running the business in addition to the positive affordability effects for our customers. As we have continually stated, we have significant room for volume increases especially if conditions move in our favor and our pushed off or less expensive vehicles will certainly help us. Our new 12 months service contract priced at 595 will increase our ASPs in the future as we continue to roll this new product out. Our old service contract was priced at 395, and was for 5.5 months. As always, we will focus on basic transportation needs and we know that we compete much more effectively at the lower price points especially when a competitive landscape is at a balance. We will continue to target flat to slightly decreasing overall sales prices in our efforts to keep payments affordable with rational term lengths to increase customer success rates and further differentiate Car-Mart from the competition. Our down payment percentage was 6.9% for the quarter, up from 6.6% for the prior year. And as a reminder, our down payment percentage for the most recent fourth quarter was significantly higher than prior year and actually was the highest we’ve seen in the last six years. Higher downs contribute to better credit results in the future. Collections as a percentage of average financial receivables improved to 14.1% from 13.8% last year. This is a big deal and represents the first quarter since the fourth quarter of 2011 where we’ve seen a higher year-over-year collection percentage. Our average initial contract term was down to 27.2 months compared to 27.7 months for the prior year quarter and down from 27.4 months sequentially. We continue to work hard to keeping the term length down and customer equity up again to help success rates. The lower ASP and higher down payment percentage contributed to the decrease in the originating terms. Our weighted average contract term for the entire portfolio, including modifications was 29.6 months which was up slightly from 29.5 months for the prior year quarter and flat sequentially, a slight increase in the total term with modifications from the prior year relates primarily to the fact that the weighted average age of the portfolio was 8.4 months at the end of the current quarter, compared to 8 months at this time last year. For competitive reasons, our term lengths may continue to increase so in the future but we are committed to minimizing any increase and we’re happy to see the leveling off and even decreases in recent periods. The overall average retail units sold per month per lot for the quarter was 28.4, flat with the prior year and up 6% from 26.9 sequentially. At quarter end, 42 or 31% of our dealerships were from 0 to 5 years old, 23 or 17% were from 5 to 10 years old, with the remaining 71 lots being 10 years old or older. Our 10 year plus lots produced 30.7 units sold per month per lot for the quarter compared to 31.2 for the prior year quarter, that was a 1.6% decrease or about 0.5 units per month per dealership, but it was up significantly from the 29.5 sequentially. Our lots in the 5 to 10 year category produced 28 compared to 27.5, a 1.8% increase and the lots in the less than 5 year age category produced 24.4 compared to 22.7 for the first quarter of last year which is 7.5% increase. We're very pleased with the productivity improvements in our lots less than 10 years old and even though we're down slightly year-over-year with our older dealerships, again sequentially we're really closing the gap with these stores which have been much more affected by competition. As we have been saying for some time now, if market conditions turn in our favor, we have significant upside in all of our dealerships but specially with the older more mature dealerships, it's still maybe just a little early to say that this is happening, but our solid credit results could indicate some positive movement for our business model as we have been expecting. Any tightening on the lending side by the competitors can have a pretty quick positive impact for us based on how our market functions. Again it maybe just a little early to say that this is happening, but we are hopeful. We will continue to focus on customer retention in repeat business and offering good quality lower price vehicles that are affordable under rational terms. We will continue to highlight the benefits of our excellent service into local face-to-face offering to the market. Interest income was up 522,000 or 3.9% for the quarter due mostly to the $12.7 million increase in average finance receivables as well as better collection results. The weighted average interest rate for all financial receivables at the end of the quarter was approximately 14.9% which is flat with this time last year. For the first quarter, gross profit margin percentage was 42.3% of sales compared to 42.5%, a small decrease related to slightly higher repair costs and slightly lower margins on payment protection plan and the service contract products offset by the benefit of pricing for the lower price cars which carry a higher gross profit percentage. As we have stated previously, we expect the new 12 month service contract will not only help more customers see, which is why we've been offering it, but it is also expected to have a slight positive effect on overall gross margins once fully released. Our goal is to balance affordability for our customers with appropriate gross margin percentages to enhance customer success. We expect gross margin percentages to remain generally in the current range over the near term. For the quarter SG&A as a percentage of sales increased to 18.4% compared to 18% for the prior year quarter, a $1.2 million increase in overall SG&A dollars compared to the prior year relates primarily to higher payroll costs and other incremental costs related to TIN new lot openings. Additionally we did incur around $400,000 in GPS expenses for the quarter and ended the quarter with right at 67% of our accounts having the product. We are aggressively managing our expenses and we continue to expect some SG&A leveraging in the future as we grow our revenues. Had our ASP been flat for the quarter, we would have seen some leveraging. But once again the long-term benefits for the lower ASP are significant and we always look to the long-term. However, we will continue to invest in our infrastructure to support our growth. The GPS effort is a long-term infrastructure investment that is enhancing our operational efficiencies out in the field. We expect the costs to be from between $3 to $4 per account per month and it is continuing to look like it will be closer to the $3. We continue to believe that many market participants maybe under pricing the servicing side of the business where customer success is in many if not most cases determined. For the current quarter net charge-offs as a percentage of average finance receivables were 6.3%, that’s up slightly from 6.2% for the prior year. The increase for the quarter related to higher severity of losses which resulted from lower wholesale values at repo and to a lesser extent on the longer contract terms. Frequency of losses was actually down for the quarter as we did a good job of working with customers to help them succeed. Competitive pressures both at the point-of-sale and at default point in the prolonged negative macro factors for our customers are contributing to the higher losses when compared to historical levels. However, we are seeing a leveling off of losses which could be a very good indicator for the future. We’re hopeful that the worst could behind us and the decreased frequency losses and the other positive credit metrics are good indicators as we look forward. Principal collections as a percentage of average finance receivables for the quarter was once again 14.1%, up from 13.8% for the prior year quarter. The increase in principal collected percentage between periods resulted from lower delinquencies, the average age of the portfolio is little older. Contract modifications are down. And this is offset by slightly longer overall contract terms, including modifications. Also the average percentage of AR current for the quarter was 81.6% up from 80.5% and once again lower modification levels, modifications were down about 8% for the quarter. Excluding the effects of the increase of 200 basis points on our provisioning for new receivables that we did increase our reserve at the end of our third quarter last year and we have been provisioning at the higher level since then. Credit losses on the income statement would have been basically flat this quarter. We saw a slight improvement with our 10-plus and 5 to 10 year dealerships offset by slightly higher losses for less than 5 year dealerships. As we look out, we do expect losses in the near-term the closer to historical levels and we are optimistic that our third and fourth quarter credit results will be better than the prior year. A competitive landscape during the upcoming tax season will play a big role, but we plan to execute well and we are optimistic. We will continue to focus on things that we can control by in great car structure and deals so that our customers can succeed and then earning repeat business by providing excellent service. The quality of the portfolio is good and delinquencies are down significantly, our 30-plus was down to 4.7% from 5.4% at this time last year. We will continue to try to find just throughout balance between sales and customers exists in a challenging environment. At the end of July with our total debt at 94 million, we did reduce debt by $3 million during the quarter. We had 48 million in additional availability under our revolving credit facilities. Our current debt-to-equity ratio is 43.2% and our debt to finance receivables ratio is 23.8%. Our first priority will be to continue to grow the business in a healthy manner and we are very encouraged by productivity improvements with our older dealerships which appears to be trending in the direction that we have been expecting. We continue to keep an eye on the competitive landscape and our future decisions on capital allocations reflect this into account. We did repurchase about 75,000 shares or $2.8 million during the quarter and we repurchased 3.3 million shares or 28% of our company since February 2010. And now, I will turn it back over to Hank.
Hank Henderson: Alright, thanks Jeff. Earlier I mentioned how pleased we are with having such a high number of our stores hitting their sales targets. And I would like to mention one of the reasons we’re seeing such solid results across the board and that is our improvements with our general manager turnover. And I think we first began talking a little bit about this couple of years ago with the growth of our company at all levels, we were seeing turnover with our general managers and that was something that was really not an issue when we were smaller company. And we have been working very hard to improve our hiring and training processes prior to putting them in place. We’ve also made even more improvements on the support our new GMs receive when they go to their own store. And we made it everyone’s top priority here to better develop and support our general managers to put a stop to this unnecessary turnover we have been experiencing. And I am very proud to say that those efforts are paying off and that turnover now is about a third what it was the same time a year ago. And that does show up in our first quarter results. But in addition to helping our current results, it also grows our confidence with regard to opening new stores as well. We opened two new lots this quarter Hixson, Tennessee and open Alabama. And we do plan to open total of eight for this fiscal year. And provided we stay on track, we intend to increase the rate of new store growth for the following year. So that does conclude our prepared remarks. So, we would now like to move on to your questions. Operator?
Operator: (Operator Instructions). Our first question comes from the line of Elizabeth Suzuki with Bank of America Merrill Lynch. Your line is open.
Elizabeth Suzuki - Bank of America Merrill Lynch: Good morning. I just have a couple of quick questions about the quarter and what you’re seeing in the broader industry. It looks like the comps are starting to improve and seems like pricing is coming down somewhat which should be a positive for volume if it continue. Does it look like the industry wide pricing for 6 to 12 year old vehicles is coming down in general or was the lower pricing more of a Car-Mart specific strategy?
Hank Henderson: It was definitely Car-Mart specific. We’ve talked about this for some time with added competition over the past couple of years, we definitely have felt more of the pressure of that at the top end and also aside from just what's going on with regard to car financing, our customers have been in quite a bit of pressure. So, we certainly feel like we own the market down below some of the top end range of where some of our sales particularly on our older larger stores have been taking place. And so we have moved that down because we certainly are far more competitive in that range and we also feel like these times right now our customers need more affordability. So, that was definitely our own doing.
Elizabeth Suzuki - Bank of America Merrill Lynch: Great. And given the improvement in some of your financing metrics such as down payment percentage, collections grade and accounts over 30 days past due, do you provisions for loan losses getting a bit lower over time or are you likely to remain cautious in the current environment?
Jeff Williams: Yes, I think when we adjusted the reserve up; historically, we really don't let to take that reserve up or down without extended positive results. We do expect better results in the future, but we certainly feel like losses have leveled off. Whether we get significant improvement going forward is a little more cloudy. But we are getting more and more convinced that maybe the worst behind us and we may have some good times ahead, but we’re certainly always going to stay on the conservative side.
Elizabeth Suzuki - Bank of America Merrill Lynch: Great. Thank you. And one last quick one, which is we’ve seen some recent headlines about the CFPB increasing its scrutiny on subprime auto lenders. And I believe the last time we spoke, the CFPB wasn't investigating Car-Mart specifically, but is that still the case?
Jeff Williams: Yes, that's still the case.
Elizabeth Suzuki - Bank of America Merrill Lynch: Great. Thanks very much.
Operator: Our next question comes from the line of David Scharf with JMP Securities. Your line is open.
David Scharf - JMP Securities: Hi, good morning. Thanks for taking my call; couple of things. Jeff, when you look at the big improvement in collections in the quarter, I’m just curious if you have to rank the reasons behind that? I mean how much of it is related to the GPS roll out versus just the improvement in the terms of your loans over the last couple of quarters; and then lastly, just any kind of general macro trends?
Jeff Williams: Well, it’s kind of hard to specify which component has the biggest effect. Certainly, we feel like the GPS products are helping us in the field; we feel like the shorter term that we’ve seen recently is helping us the better underwriting we’ve had recently is helping on the collection side or executing better at the lot level and really focused on delinquencies and helping these customers succeed. And we believe we’re starting to see a little relief on the competitive side, it’s more anecdotal than anything right now, but just a little change on the competitive side can have a big effect on our collection results.
David Scharf - JMP Securities: Sure. As we think about the -- just the operational impact of the GPS rollout, just by virtue of going from two-thirds of the fleet out there to fully deployed and I assume that should happen over the next year. I mean, is there a way for us to think about holding all other factors constant, how much of an impact that might have on the collection rate?
Hank Henderson: Okay. I have to tell you that the jury is still out there on that I think it does make us better, rather we use it correctly but it is still new to us. When we made the decision to invest in the GPS, our focus was to help us make contact sooner with our customers, so that we can work with them and help them pay for the car and reduce losses, not just so that we had the easy ways to find them later when they’re severely delinquent. And so this being so relatively new and again not even all the customers having it, we’re still working it in and refining our practices. So I think that’s something we’ll talk more about in the future but right now we’re still working through our own processes with regard to that.
David Scharf - JMP Securities: Got it.
Jeff Williams: But to add, it is helping with the efficiencies at the lot level to manage 65,000 or 130,000 accounts even something we like we had to do just from an efficiency standpoint. It’s a little harder to pencil out credit loss savings at this point as Hank mentioned.
David Scharf - JMP Securities: Fair enough. And then I believe last quarter, the recovery as a percentage of losses go as maybe down to that 30%. What was that figure?
Hank Henderson: It's actually below 30% at this point, the wholesale pricing continues to be a little under pressure. So we continue to see some decreases in the fair market value of car second back at repo, but I had a big positive on the frequency. So you’ll see a fewer cars comeback, but those that do comeback are worth a little less than they were at this time last year.
David Scharf - JMP Securities: Got it, got it. And Jeff, I know the last caller asked about the provisioning and I know you don't like to change that period ending allowance to frequently, you raised it to around 23.5, a couple of quarters ago. But loss rates are still elevated, but to the extent that, you're correct in that this kind of potentially leveled off and maybe the worst is in the rear view mirror. Could you give us a sense for how many more months or quarters of stable loss rates we need to see before potentially that allowance figure would come down again?
Jeff Williams: We've always been really, really conservative and we think the most visibility we can give readers in the financial segments is leaving that reserve alone, if we start [monkeying] with that, we really look at that seriously non-adjusted until we have to. But looking forward, if we have a really outstanding end of the third quarter and really outstanding fourth quarter on collections, best case is we might be compelled to look at it at that point.
David Scharf - JMP Securities: Got it, that’s helpful. And then lastly, I will get back in queue, but just trying to get a sense for at the end of the day on the strong unit volumes, how much you would attribute to your decisions obviously go after lower price vehicles or lower your price on older vehicles versus some of the anecdotal signs you are seeing that competition might be easing a bit. I mean if we had to think about the next kind of six months and how you are looking at the market I mean should we still be thinking that Car-Mart is going to -- have to kind of look at a 3%, 4% year-over-year decline in average sale price in order to move things or do you kind of get a sense that maybe competition on the low end is easing a bit and you won’t have to be as aggressive on pricing in order to help your closure rate?
Hank Henderson: I will mention again that the 12 months service contract may get fully rolled in, we will get between $175, $200 more on an ASP basis for the quarter with that product fully rolling in, it’ll take a lot to get there, but that will offset some of the decrease we have seen on the ASP on a car at sale. And as far as looking forward we’re really looking at flat sales pricing to down a little bit like we saw this quarter, excluding the effect of the service contract change.
David Scharf - JMP Securities: Got it, okay, thank you very much.
Hank Henderson: Thank you.
Operator: Our next question comes from the line of John Hecht with Jefferies. Your line is open.
John Hecht - Jefferies: Good morning guys. Thanks very much and congratulations. Just parsing a little bit to the increase in sales, you talked about alleviation and competition and obviously strong execution. I am wondering can you talk anything to customer demand, are you seeing more foot traffic, what's the kind of uptick of new customers or seeing greater activity in most your customer base at all?
Hank Henderson: I would say that it's been solid and of course we came through the spring which was a busy time. I would say that the traffic has remained solid. I wouldn't necessarily say we're having these significant increases. And I would definitely say that the solid sales for this quarter were more, certainly more execution and I think there we've done some good things, so mentioned before like our area managers, their development has really improved and their ability to really put the focus on the individual stores and that's why what we said earlier really highlighted our success and hitting targets at each of our stores. And I think it had a lot to do with our focus at each individual store figuring out what do we need to do to get the sales at local level and we're successful across the board. And as Jeff said, anything we hear about competition easing is a little anecdotal here and there, but I would certainly attribute are better sales to more effective execution at the local level. It's still very difficult for us to measure the impact on competition.
John Hecht - Jefferies: Okay. And then the average retail price, it ticked downward, it sounds like you guys are focused on that in order to keep the monthly payments down. I am wondering how are doing? Is it more productivity buying or can you give us some stats about the average age and mileage of what you are buying now versus what you had or buying say a year ago?
Jeff Williams: Yes. I mean no surprise the cars that we're buying are little bit older and with a few more miles on them than they were before. But cars are built so much better than they were in the past and we're very comfortable that that asset is going to last well beyond the contract terms. So, that's always our primary focus. But we have just done a really good job especially with some of our older dealerships and making sure that they really focus on selling a good range of product from the lower price product on. And just some focus on making sure that those lower price points are receiving the appropriate amount of attention that has certainly helped.
John Hecht - Jefferies: Okay. With respect to the new service contract, I mean are you going to phase out the shorter contract first. And second what is kind of uptake in the relative to total unit sales on the current service contract and what would you kind of expected to be on the longer term contract?
Hank Henderson: We have couple of our discount auto locations that are going to stay with 395 service contract, but all the other dealerships have moved to the 595. And we've always had a very high take rate on that product, because it is a good value, we don't, there is not a third party involved, we carry that product ourselves and service that product ourselves. So, 595 for a 12 month service contract it's just really an outstanding value, so we expect the take rates to stay in at 95% range because it does represent a significant value at a good cost for the customer. And we end up earning gross margin on that product of around 40%.
Hank Henderson: Yes. And when we moved to that, we didn’t leave the other one out there. So we just moved the whole thing out, it’s not an option there.
Jeff Williams: Right.
John Hecht - Jefferies: Okay. And then just curious what’s your average monthly payment is right now?
Jeff Williams: It’s right at -- I think we’ve measured them on a biweekly basis that’s our most common term, it’s about $177 biweekly.
John Hecht - Jefferies: Okay. Thanks very much guys.
Jeff Williams: Thank you.
Hank Henderson: Thanks John.
Operator: Our next question comes from the line of John Rowan with Sidoti & Company. Your line is open.
John Rowan - Sidoti & Company: Good morning guys.
Hank Henderson: Good morning.
John Rowan - Sidoti & Company: Jeff, can you go over your explanation again as to why the portfolio duration was up slightly yet the originating contract terms were lower and modifications were lower; I am trying to understand how those numbers get together?
Jeff Williams: The age, the weighted average age of all 63,000 accounts is aging out 8.4 months this year compared to 8 months at this time last year which just means we’ve got more seasoning in the portfolio, overall. Modifications were down for the quarter that doesn’t -- for this most recent quarter modifications were down about 8% from the same quarter last year. But for the whole pool of loans, all 63,000 because they’re that much older than they were for the overall pool, were up just slightly on the term accounting modifications.
John Rowan - Sidoti & Company: Okay. With the average age coming up, does that indicate that the typical charge-off has moved back from the roughly 10 months’ timeframe?
Jeff Williams: Yes, we’re actually moving up a little bit on the average default point or back over 11 months now.
John Rowan - Sidoti & Company: Okay. Going back to the question on the typical payments for 177 which I think is actually kind of flat even if I go back in fiscal ‘13 with the typical biweekly payment. Is your strategy to bring down duration and just basically offset the change in the contract term with a lower price vehicle and not actually lower the typical biweekly payment?
Jeff Williams: That would be if competition allows us to do it, and that would be the best scenario for our customer that means a shorter term, more equity, more pay-offs. That would be a good answer and that would be certainly something that we would strive to make happen.
John Rowan - Sidoti & Company: And then just last question, Hank. Last quarter on the conference call, I asked you what comparable deals you were seeing in the market, your customer, your typical part that you were financing, what deals you were seeing. You told me that there are some customers that you are losing deals who’ve started taking 48 month loans on comparable vehicles. I mean that’s obviously a much longer duration and what your portfolio is close 30 months. I’m curious have those types of excessive deals come out of the market. Obviously it’s the anecdotal information, but I’m curious what your take is and how that -- how your take on that comment has changed during the past quarter?
Hank Henderson: I think that a lot of those that we were hearing about, talked about were happening more during the tax time. I think dealers were -- customers had some down payment money, they’ve gotten tax refunds back. And so I think through the spring, we had heard of a lot more of that. I think that offering is still out there, a lot of that still available but as you asked what we are hearing, I haven’t heard as much about that as we did in the spring.
John Rowan - Sidoti & Company: Okay, thank you very much.
Hank Henderson: Yes. Thank you, John.
Operator: Our next question comes from the line Bill Armstrong with C.L. King and Associates. Your line is open.
Bill Armstrong - C.L. King and Associates: Good morning, Hank and Jeff. With an older higher mileage car, how are you managing the risk of breakdown happening before the contract expires and the consequent potential for higher default down the road?
Hank Henderson: I think that’s a good question. We stress, you have to be more selective in order to buy those quality cars of that range. Our purchasing agents understand that you are going to have to drive more of them, turn more of them down. It’s actually a more difficult job to buy the cheaper cars than it is the more expansive ones. And so, we just really have to crack down and be more selective and have to understand we’ve got to roll up our sleeves and work little harder in order to get the good ones. And so we do feel like that if we do a good job with that, those are certainly as manageable as up the stream.
Bill Armstrong - C.L. King and Associates: Okay. And when you are talking about competitive conditions maybe easing up a little bit, are we talking about on the financing side, are you seeing any evidence that maybe some of your customers aren’t getting as many easy offers as they were getting in the past or maybe not quite the extended terms that you were seeing previously? What can you tell us about that?
Hank Henderson: I would say kind of the same answer, just certain I think that we really saw a lot of that and I think we talked about it last time and I think, I also talked about cars is going to dropped to other dealers and that sort of thing. I think a lot of that was related to our customers having the tax refund money at the time when we saw a lot of drop-off cars and that sort of thing. And then we still see that the same advertising. Everyone else see the same offer, so I think the offers are still out there. I think customers, some customers are still taking advantage of that, but I think that we have improved our focus on our customer retention and certainly trying to track those customers that are more interested in the affordability of short-term that sort of thing, rather than going and signing up for five year note with someone. So, I think it is still viable.
Jeff Williams: Yeah. In the lower price points, we know that we compete more strongly than at those lower price points so especially against the indirect lending channel.
Bill Armstrong - C.L. King and Associates: Okay. So, I guess maybe what gives you confidence and maybe we're actually hitting on inflection point and the things maybe we’ve bottomed out here and things are going to get better. What are you seeing that might indicate that?
Hank Henderson: Well, all the credit metrics during the quarter were all very positive. We have a lot of analysis on static approvals by month and by quarter and we're seeing a leveling off and actual improvements on some of those approvals. So, there is a lot of things pointing in the direction of -- at the point where things could get better.
Bill Armstrong - C.L. King and Associates: Okay. Alright, great. Thanks.
Hank Henderson: Thanks Bill.
Operator: Our next question comes from the line of Chris Brown with (inaudible) Capital. Your line is open.
Unidentified Analyst: Yes, good morning gentlemen. I just had a quick question, I was wondering if you actually track the percent of sales that are from repeat customers and how that's tracking now compared to say a year ago?
Hank Henderson: Yes, we do and percentages of repeat customers are pretty much leveled with what we saw last year at this year, about a third of our sales are through repeat customers, some of our older dealerships that repeat percentage to be above 50%, but on average, we're right at the third which is pretty consistent with this time last year.
Unidentified Analyst: Great. You mentioned earlier tax season is a big driver for you guys. How important would you say that is as a percent of your annual sales?
Hank Henderson: Tax time of sales, our customer, 95% of our customers are going to get a $4,000 to $5,000 income tax refund in February. So, it's extremely important on the sales side and on the collection side. And you can just look at the fourth quarter sales trends and the seasonality with that fourth quarter and get an indication of what effect the tax time had. And we do have some promotions that start in the third quarter to try to spread out the timing of some tax time sales. But it is important to our business and to our customers and we try to do a good job of managing that process and we try to get our customers to maybe have some seasonal payments during tax time to increase their equity or keep their equity up on those transactions keep that term down. So, it is an important event for most of our customers and it does certainly help on the collections and sales side.
Unidentified Analyst: Okay, great. Thank you for the color.
Operator: (Operator Instructions). And I am not showing any further questions from the phone lines at this time. I’d like to turn the call back to management for closing remarks.
Hank Henderson: All right. Once again thank you all for joining us this morning. And as I said, we feel like we’ve gotten off to a very solid start for the year. We’re optimistic here that things are good and we are excited and looking forward to a good year here. So, thank you and we’ll look forward to talking to you guys in the future.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. And you may all disconnect. Everyone have a good day.